Operator: Good day, ladies and gentlemen. Welcome to General Parts Company First Quarter and 2020 Earnings Conference Call. Today’s call is being recorded. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] At this time, I would like to turn the conference over to Sid Jones, Senior Vice President, Investor Relations. Please go ahead, sir.
Sidney Jones: Good morning, and thank you for joining us today for the Genuine Parts Company first quarter 2020 conference call to discuss our earnings results and COVID-19 business update. I’m here with Paul Donahue, our Chairman and Chief Executive Officer; and Carol Yancey, our Executive Vice President and Chief Financial Officer. Today’s conference call and webcast are accompanied by a slide presentation that can be found on the Genuine Parts Company Investor Relations website. Before we begin this morning, please be advised that this call may include certain non-GAAP financial measures, which may be referred to during today’s discussion of our results as reported under generally accepted accounting principles. A reconciliation of these measures is provided in the earnings press release issued this morning, which is also posted in the Investors section of our website. Today’s call may involve forward-looking statements regarding the company and its businesses. The company’s actual results could differ materially from any forward-looking statements due to several important factors described in the company’s latest SEC filings, including this morning’s press release. The company assumes no obligation to update any forward-looking statements made during this call. Now I’ll turn the call over to Paul for his remarks.
Paul Donahue: Thank you, Sid. And welcome to our first quarter 2020 earnings conference call. We hope you are staying safe and enjoying good health in these challenging times, and we appreciate you joining us today for our review of this morning’s release. We would like to begin today’s call with a few comments regarding the COVID-19 pandemic and its significant impact around the world. Our hearts go out to the millions of people affected by COVID-19, and we thank those health care providers and first responders on the front lines of our fight against this outbreak. Their commitment to the care and protection of our communities is admirable and greatly appreciated. We also owe a debt of gratitude to our associates across the global GPC family. Our team members have lived our GPC values every day and stepped up with powerful displays of commitment to each other, our customers and our communities. Working as a team, we rallied to navigate the crisis to ensure our employees stay healthy, our operations remain safe and our teams are well positioned to serve our customers’ critical needs. Each of our three business segments are classified as essential businesses, and we are proud to be able to take care of our customers during these unprecedented times. Like everyone, new protocols at our facilities require us to adjust the way we conduct business. To highlight a few examples, we now make mask, sanitizer and other PPE widely available for our team mates, direct movement patterns within buildings, mandate social distancing and implement temperature checks in many of our operations. We created flexible operating policies for our associates and our customers, implemented remote work plans and develop phase attendant strategies to ensure a safe environment. Importantly, we stepped up our communication approach with our global employee base. We distribute daily and weekly updates to provide information and progress reports on our collective efforts. Our technology platforms and talented IT teams have worked hard to enable a seamless transition to our new technological reality. Despite all our new routines, our 55,000 associates remain positive, productive and connected. We are also exceptionally proud to recognize our colleagues who have been so generous to give back to our communities throughout this crisis. We have continued our support of numerous charitable organizations, including internal relief funds that support fellow GPC team mates the need and have many examples where we have donated PPE and cleaning and safety supplies to hospitals and health care centers. In addition, our employees volunteered their time to numerous worthy causes. Giving back has and always will be a core GPC value. Given the circumstances, we will start by sharing a few first quarter highlights, and then we want to turn to, one, the business environment over the past 90 days; and two, how our teams have responded. After that, I’ll provide commentary on each of the business segments before handing the call over to Carol to detail the financial results. So total sales for the first quarter were $4.6 billion, up 1.1%, excluding the impact of divestitures or down approximately 3.7% on a reported basis. For perspective, sales were up over 2% through February, despite mild weather and mixed industrial end market trends. Sales in the first half of March were also strong, up approximately 4% compared to the same period the prior year. As the virus impact accelerated, we experienced an approximate 16% sales decrease during the second half of March compared to the same period the prior year. Net income in the first quarter 2020 was $137 million and earnings per share were $0.94, with adjusted net income at $133 million or $0.92 per share. We estimate an approximate 3% negative impact to net sales and a $0.21 negative impact to EPS during the first quarter 2020 contributed to COVID-19. Moving to the business environment and our response. You might recall from our February earnings call, we highlighted the strong momentum the teams were building with a solid fourth quarter in 2019 performance. We entered 2020 focused on our strategic growth, improving our operating performance and capital allocation initiatives. 2020 was poised to be an exciting year for GPC. In mid-February, when we released our 2019 results, we spoke to these plans and initiatives as well as commenting on supply chain operations in China, which, at the time, was impacted by the outbreak. As the impact of COVID-19 was more broadly felt around the globe, we began to see declines in demand in mid-March. National lockdowns in France and New Zealand followed and broad shelter in place mandates impacted our operations. This trend continued for the balance of the first quarter and throughout the month of April. In response to the crisis, we have elevated the cadence in which we are managing the business. I am proud of the coordinated and strong leadership demonstrated across the company over the past two months. Teams have stepped up, acted urgently and executed with discipline. We increased the frequency of our global leadership cadence and formed a cross-functional COVID-19 response team to accelerate decision-making, analyze rapidly-changing information and coordinate sharing best practices across the global teams. As a result, we took rapid action to address our cost structures given the new realities of sales volume and business activity. We developed a disciplined process to identify, analyze and prioritize nearly 50 enterprise cost actions. Select cost savings actions put in place include delayed merit increases, headcount reductions, voluntary and involuntary leave of absences, hiring freezes, executive and officer pay reductions, reduced bonuses and commissions, government subsidies collections, reduction in hours of operations, rent relief, professional fees and marketing expense reductions, T&E reductions and facility closures, to name just a few. We created detailed scenario models and built a refined financial forecast process to assess weekly performance and adjust action to business reality. Our teams continue to evaluate and implement cost savings measures to appropriately respond to the business conditions and are focused on maintaining cost discipline as our markets recover. We should mention that our global supply chain is operating well. Our supply chain, including foreign and domestic manufacturing capacity and logistics, is largely performing at levels seen prior to COVID-19. We believe the power of our global operating scale, product and geographic diversification of supplier partners and intense teamwork across our business units, create an advantage as we work to minimize any potential service disruption for our customers. We continue to monitor a few geographies in specific product categories such as PPE that are still returning to pre-crisis levels, but we are cautiously optimistic about the path to full recovery. We would be remiss if we did not take the opportunity to publicly thank our GPC procurement teams and our valued suppliers for their unwavering partnership and support. Now let’s turn to a review of our business segments, beginning with our global automotive group. For the first quarter, this group represented 57% of total revenues and had a sales decline of 1%, excluding divestitures. In our North American operations, U.S. automotive sales were down 3.8% in the first quarter, with comp sales down 5.7%. Primarily, the sales decline reflects the combination of a slow start to 2020 due to the mild winter weather that pressured sales in January and February and the impact of COVID-19 in the last half of March. While sales started strong in March, up 7% through midmonth, sales fell by 24% over the final two weeks of the quarter. These headwinds drove sales declines in both the commercial and retail segments of our business. And while the DIFM segment, which represents 80% of our total U.S. automotive sales, outperformed our DIY sales for the quarter overall. This flipped in late March with DIY showing more resilience throughout this crisis. Under the current business conditions, online orders have increased significantly and have been an important factor in driving DIY sales. Our omnichannel initiatives, such as buy online, pick up in store, curbside pickup and expanded ship-to-home capabilities, including next-day delivery to every U.S. market, allow our customers a variety of convenient options when making a purchase. In addition, this environment has prompted us to provide additional services, such as same-day store deliveries on the DIY side and touchless delivery for our commercial customers. We believe that these services will prove to enhance our customer value proposition in both the near and long term. Before leaving our U.S. automotive operations, we thought we would share an update on the financial state of our independent owners and our good AutoCare customers. As we mentioned in our April six release, our NAPA team, along with several of our financial partners, are working closely with these independently-owned businesses to help them benefit from the financial assistance available to them. This has involved continued education regarding several programs, including the Cares Act. To date, the vast majority of our independent NAPA owners have applied for PPP assistance with 60% receiving funding and expect a decline. The majority of our owners have also applied for other financial support, such as loan payment deferrals and standard SBA loans for disaster relief. Importantly, we would emphasize that none of our NAPA owners had to close their businesses due to COVID-19. In addition, among our NAPA AutoCare center customers, most of which remain open for business, more than 60% have filed for assistance with over 40% currently funded. We are confident in the financial stability of these key partners and we’ll continue to work with them to ensure they pull-through these difficult times. In Canada, we also experienced mid-single digit comp sales declines, which were partially offset by acquisitions. Through February, our Canadian business was trending slightly positive. Although sales began to gradually slow in early March before falling 25% over the last half of the month, in accordance with provincial shelter in place orders. In Europe, our automotive sales were up 14%, driven by the incremental benefit from the PartsPoint and Todd acquisitions in 2019. Sales were offset by a high single digit decline in core sales, driven primarily by COVID-19 as well as the impact of foreign currency. After posting relatively flat comp through February, sales in Europe slowed significantly in early March and were especially pressured following the March 17 preemptive government lockdown in France. France is our largest market in Europe, representing approximately 39% of total European revenues. And we look forward to the easing of these restrictions later this month. In light of our earlier expectations for much improved results for Europe in 2020, the current conditions represent a temporary setback, which our team is addressing via several measures, including aggressive cost reductions. In addition, with a vast network of operations across several key regions, including France, the U.K., Germany, Poland, the Netherlands and Belgium, we continue to view our expanded footprint in a large and fragmented European marketplace as an important competitive advantage. We are committed to our growth strategy for these operations and expect this business to emerge from the pandemic well positioned to actively build on its market-leading position in the recovery. Our strongest automotive results were in Australia and New Zealand, where we posted low single-digit comp growth and operating margin expansion despite a significant negative impact from foreign currency translation. This region was the least affected by COVID-19 in March. Although New Zealand, which represents less than 20% of our Australasian automotive revenues, was also under a mandatory lockdown. As in the U.S., online sales have been strong through this crisis and a solid driver of retail sales for this region. We continue to support our customers through buy online, pick up in store, and deliver from store capabilities, utilizing the Repco store fleet of delivery vehicles in all markets. With the dramatic growth in online demand, the timeliness of the Sparesbox acquisition in 2019 has proven especially beneficial. Sparesbox is Australia’s leading online automotive parts and accessories business. And we have utilized its specialized expertise to enhance our understanding of the digital marketplace and improve our omnichannel capabilities in Australasia and across our global automotive operations. So that’s a recap of the global automotive group and our first quarter performance. The headwinds we experienced relative to COVID-19 had a significant impact on demand late in the quarter. And despite our confidence in the long-term fundamentals of the aftermarket, we expect a decline in miles driven, consumer spending and overall economic activity to continue to pressure this segment over the near term. Now turning to our global Industrial Parts Group. Total sales were $1.5 billion, up 4.7%, excluding the EIS divestiture. North American comp sales were down 3.1%, including an approximate 1% decline in sales due to the impact of COVID-19. This was offset by the addition of Inenco in Australasia as well as other acquisitions, which contributed 7.8% of sales. Inenco was acquired in July of 2019 and performed well in the first quarter despite the challenges of the lockdown in New Zealand as well as Southeast Asia. Looking further at Motion Industries, our North American industrial operations, the slowdown in the industrial economy over the last five to six months in 2019 was showing the early signs of a recovery in January and February. Leading indicators, such as the purchasing managers index and industrial production, pointed to a stabilizing industrial economy until March when COVID-19 presented a new set of challenges for the industry. The growing pressure on demand related to customer closures and the broad decline in economic activity over the last two weeks of March led to just two of our 14 product categories posting positive year-over-year sales gains in the first quarter. This, of course, includes our safety products category, which has benefited from the heightened demand for PPE and other safety supplies throughout the crisis. By industry sector, all 12 key groups posted year-over-year sales declines, ranging from slight decreases for the food processing and aggregate and cement sectors, to double-digit declines for equipment and machinery, iron and steel, automotive and oil and gas. Despite the current sales environment, the Motion team operated well and delivered their eighth consecutive quarter of operating margin improvement. Thus far, in the second quarter, the economic pressure of COVID-19 has continued to impact the demand environment. With that said, we sell to thousands of customers, representing a diverse cross-section of industry sectors, which should soften the level of sales declines for this business. Likewise, we continue to expand our automation solutions capabilities and prepare for the surge in demand associated with incremental maintenance and repairs in a recovery. We are actively tracking the status of our customers’ factories and seeing more customers returning to work and opening their plant. This is a positive development for the industry, which we expect to drive improved demand for our core industrial categories, including powered transmission and electrical products, hydraulics, pneumatics and conveyance, among others. Rounding out our business segment updates, the Business Products Group reported sales of $468 million, down 2.3% or up 1.5%, excluding the impact of its SPR Canada and GCN divestitures. The 1.5% sales increase reflects the positive impact of especially strong sales of jan/san and safety supplies, which we began to see in connection with the COVID-19 in early March. This category was up 28% from last year and accounted for 46% of total revenues for this business segment in the first quarter. Sales in this category have offset the declines in our core business products categories. And while we expect these trends to continue as we battle through COVID-19, we anticipate a more challenging second quarter relative to Q1. Looking beyond these near-term trends, we continue to evaluate our longer-term plans for this business. So with that, I’ll hand it over to Carol to give you a deeper look at our financials for the quarter. Carol?
Carol Yancey: Thank you, Paul. Total GPC sales were $4.6 billion in the first quarter, down 3.7% from 2019 or up 1.1%, excluding the impact of divestitures. For the quarter, we were pleased to report our tenth consecutive increase in our quarterly gross margin, with gross margin improving to 32.9% from 31.8% in 2019 or up 108 basis points. The improvement primarily reflects the favorable impact of divestitures and acquisitions of higher gross margin businesses in automotive and industrial. These items as well as favorable product mix shifts were partially offset by a decrease in supplier incentives due to lower purchasing volume. The pricing environment stabilized in the first quarter from relatively high levels of inflation in 2019, primarily associated with tariffs in automotive and Business Products. In addition to the slight carryover effect of these tariffs in the first quarter, additional supplier price changes thus far in 2020 have been flat in automotive, 0.4% in Industrial and 0.5% in office. So overall, pricing had a slightly favorable impact to sales for the quarter, and we expect only minor price inflation through the balance of 2020. Turning to our selling, administrative and other expenses. This line item was $1.23 billion in the first quarter or up 2.4% from last year. Or up an adjusted 2.7%, excluding the impact of transaction and other costs, and this represents 27% of sales on both a GAAP and adjusted basis. These operating costs were up from last year due to several factors, including the loss of leverage on our expenses related to the lower-than-expected sales volumes and the impact of divestitures and acquisitions with higher cost models. In addition, the effect of rising costs in areas such as freight and delivery, insurance, IT and cybersecurity also drove the increase. With that said, we were pleased to see improving trends in several key areas such as payroll and legal and professional expenses. Costs in these categories were down from last year, which primarily reflects the favorable impact of our $100 million in cost-saving initiatives announced last year. We expect these improving trends to continue through the balance of the year given the positive momentum of these initiatives as well as our new and accelerated cost actions that are taken in association with the COVID-19 impact. Combining the SG&A line with our other operating and non-operating expenses, total operating and non-operating expenses were $1.32 billion for the first quarter in 2020. This is an increase of 1.9% from last year or an adjusted increase of 4.6% and represents 29% of sales on both a GAAP and adjusted basis. Our total segment operating profit in the first quarter was $276 million, down 14% on a 4% sales decrease or down 10% on a 1% sales increase, excluding divestitures. Our operating profit margin was 6.1% compared to 6.8% last year. Our tax rate for the first quarter was 23.7%, which is a decrease from the 24.2% in the prior year and due primarily to the net effect of shifts in income mix as well as favorable valuation allowances related to the gain on the insurance proceeds for the SPR fire, offset by less favorable stock option activity. Excluding onetime transaction, restructuring and other costs and income, our adjusted tax rate, which does not benefit from the valuation allowances just discussed, was up from last year to 25.8%. Our net income in the first quarter was $137 million and earnings per share of $0.94 and compares to $160 million and earnings per share of $1.10 last year. Our adjusted net income of $133 million or $0.92 per share compares to $187 million or $1.28 per share for 2019. Now let’s discuss our first quarter results by segment. Our automotive revenue for the first quarter was $2.6 billion, down 1.6% from the prior year or down approximately 1%, excluding Auto Todo, which we divested in March of 2019. Our operating profit of $142 million was down 21%, with operating margin of 5.5% compared to 6.8% reported margin in the first quarter of 2019. The decline in margin primarily reflects the COVID-19 headwinds in our U.S., Canadian and European businesses. This was partially offset by the improved operating margin in Australasia, which delivered another solid quarter. As we move forward, we expect to see additional pressure on sales and profitability in the near term related to COVID-19 and the expected decline in miles driven. Our Industrial sales were $1.5 billion in the quarter, a 7.7% decrease from Q1 of last year or up approximately 5%, excluding the EIS divestiture. Operating profit of $114 million was down 6% from a year ago or up 5% excluding EIS. And the operating margin improved to 7.5% from the 7.4% reported last year with the increase in the margin expansion due to our core North American industrial business and the favorable impact of divestitures. For Business Products, our revenues were $468 million, down 2.3% from 2019 or up approximately 1.5%, excluding SPR Canada and GCN. Our operating profit of $20.2 million and operating margin declined slightly to 4.3% from the 4.4% reported for the first quarter last year. These results correlate to the decline in traditional office segment, offset by strong sales in the jan/san and safety category. To complete the review of our segments, we wanted to share our April daily sales results, which reflect the continued impact of COVID-19 on the overall economic environment. For the month, our total daily sales were down an estimated 25%, including approximate declines of 30% in the automotive segment, 10% in the Industrial segment and 20% in the Business Products segment. While we expect these levels of declines and the second quarter in general to represent a low point for demand across our businesses, we cannot reasonably forecast the full impact of COVID-19 in the coming months. As a result, we’re planning accordingly. And as Paul discussed earlier, we’ll continue to implement substantial cost-saving initiatives to sustain our operations through the current business conditions. In addition, we’ve modified our near-term plans for capital allocation and implemented initiatives to more effectively manage our working capital to further preserve our cash. So now turning to the balance sheet. Our accounts receivable of $2.7 billion is down 1% from the prior year and compares to our 3.7% total sales decrease for the quarter. We remain pleased with the quality of our receivables, and we continue to closely monitor our collection trends in light of the current business conditions. Our inventory at March 31 was $3.7 billion, flat from March of last year due to effective inventory management and reduced purchasing volumes. Our accounts payable of $4.1 billion is flat from last year, which correlates to the change in inventory and the lower purchasing volumes for the quarter. At March 31, our AP to inventory ratio was 110%, and which is consistent with last year and improved from 107% at December 31. Total debt of $3.6 billion is up 6% from $3.4 billion in 2019, and we are in compliance with our debt covenants as of March 31. In addition, we closed the first quarter with $1.1 billion in total available liquidity, and we continue to operate with $1.1 billion in available liquidity today. Additionally, we are pleased to report that we have amended our debt agreements to expand our debt covenants to a maximum debt-to-EBITDA ratio of 4.0 times, and our scenario planning supports the continued compliance with our covenants as we move forward through the year and enter 2021. We also continue to work with our banking and other global partners for additional credit capacity and other forms of financing, including the utilization of asset-based lending and other measures. We expect to continue to work further on liquidity option in the quarters ahead, and we’re confident that we have ample liquidity to withstand the uncertainty associated with COVID-19. In the first quarter, we generated $72 million in cash from operations, a 20% increase from 2019. Our history of strong cash flows, which, of course, includes the Great Recession, continues to support our priorities for the use of cash, which we believe serves to maximize shareholder value. In the 3 year period of 2017 through 2019, we deployed $4.3 billion in capital across four key areas, including the reinvestment in our businesses via capital expenditures, M&A growth, net of divestitures, share repurchases and the dividend. And while we remain committed to these priorities over the long term, we have modified our current thinking in these areas to preserve cash as appropriate through the current business conditions. For example, we have reduced our forecast for capital expenditures to $150 million to $200 million in 2020, which is down from our previously announced plan for $300 million in spend. In addition, we have temporarily suspended any plans for acquisition and share repurchases. Combined, we believe these near-term changes in capital allocation will serve to enhance the company’s cash position as we move through this downturn. Our current steps to conserve cash through cost savings, working capital initiatives and capital allocation reductions gives us confidence to continue to support the dividend, which we have increased for 64 consecutive years. Our current annual dividend of $3.16, represents a 4% increase from 2019 and is approximately 56% of our 2019 adjusted earnings, which is within our targeted payout ratio. Recently, our Board of Directors approved the quarterly dividend payable July 1, and we remain committed to our dividend policy going forward. In these difficult times, it’s especially important to thank our colleagues for their tremendous commitment to their jobs and to GPC. Our treasury, finance, IT and HR teams have all been working tirelessly to help navigate us through these uncertainties presented by COVID-19. So we’d like to extend a big thank you to all of these teams, and we appreciate all their efforts. So that concludes our financial update for the first quarter of 2020, and I will now turn it back over to Paul.
Paul Donahue: Thank you, Carol. We entered April well underway in our preparedness plans to protect our employees, customers and communities while also continuing to serve our customers and creating value for all of our stakeholders. Throughout the month, we were focused on the controlled execution of these plans and would highlight several key points. To date, we have been fortunate to have very few known COVID-19 cases among our 55,000 employees. A testament to the enhanced safety protocols we have implemented in our distribution centers, branches, stores and offices. Our operations are essential to our customers and remain substantially open across business segments and geographies. Our teams have been diligent and more frequent in their communications with employees and our supplier and customer partners. Our teams have been innovative in implementing new services that have proven valuable in driving sales. We have effectively realigned our capital allocation priority by reducing our capital expenditures and suspending share repurchases and M&A, while remaining committed to the dividend. And we have worked with our banks and other financial partners for additional forms of financing and amended debt covenants to provide ample liquidity through the crisis. Working together as one team, we believe the steps we are taking to stabilize our business in these unprecedented times, will position the company for strong sales and earnings growth as we exit this global pandemic. We acknowledge the unprecedented near-term challenges that we must navigate and corresponding hard work in front of us. With that said, we remain optimistic about the future as we’ve had significant learnings from the current business conditions. And the industry fundamentals across our automotive and industrial operations are strong and supportive of sustained long-term growth. The circumstances of COVID-19 have required us to assess and build on our existing capabilities. And in addition to our immediate crisis response actions, each business team has developed strategic recovery plans, that detail strategic investment and productivity priorities that we believe will accelerate our momentum following the crisis. We have also accelerated the urgency and traction of various transformation initiatives that were in process while identifying others as well. This has led us to consider actions to further optimize our portfolio, such as exiting underperforming operations and improve our operational profitability, such as with our cost savings initiatives. Additionally, we discovered new and better ways of serving our customers and managing our business. Refined approaches to order fulfillment and logistics, field and functional staffing models, digital sales and marketing programs are just a few examples. The time to market of these efforts has been dramatically reduced as well. Change is difficult for any organization, but the crisis has shown our teams, we can move with discipline and urgency to make a positive difference. So in closing, while we are focused on what we can control, we do believe the long-term industry fundamentals remain favorable across our business segments. Importantly, each of our businesses compete in very large and fragmented markets. In automotive, low fuel prices, the dramatic reduction in new vehicle production, shift in travel preferences, shift in personal versus public transportation behavior, potential deferrals of new car purchases and expectations for miles driven to ultimately recover and grow over the long term are all positive tailwinds for the industry. In Industrial, our broad and diverse customer base, change in philosophies on global manufacturing and the growing demand for plant automation solutions all remain positive long-term trends. Through prior downturns, we have generated significant cash flows despite difficult sales environment, and our end markets and business model have proven resilient. The strength of our operating model and cash flow profile over the years support our consistent track record of increasing the dividend for 64 consecutive years. Moving forward, we will remain focused on taking care of our people, our customers and our communities. We will also combine urgent immediate action with activities that will position us for the future. We are incredibly proud of the hard work of our global teams. So thank you for listening. And with that, we’ll turn it back to the operator, and Carol and I will be happy to take your questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Liz Suzuki with Bank of America. Please proceed with your question.
Liz Suzuki: Great. Thank you. So for the auto business, in the countries where you operate, that have started to see a slowdown of new cases of COVID-19 and have started to open back up maybe a few weeks ahead of where we are in the U.S., has there been a significant rebound in auto part sales or is it pretty gradual?
Paul Donahue: Liz, great question. We had a couple hour conference call with our European leadership team yesterday. And our markets where we have seen openings, i.e., in Germany, the Netherlands, Belgium, we are definitely seeing a resurgence in our sales top line. Those markets, they fared better than certainly our market in France and the U.K. France has been in lockdown for the longest period of time out of our markets, the U.K. locked down in late March. So those two have been dramatically impacted. We’ll see France. What we hope, France will begin gradual reopening on May 11. We think U.K. will probably be later in May. But directly to your question, Liz, we are seeing an uptick, a nice uptick in sales in both Germany and the Netherlands.
Liz Suzuki: And do you think there could be a shift in consumer behavior? And maybe it’s already happening in those countries that are recovering, where commuting and vacation travel starts shifting more to the automobile as opposed to public transportation or air travel?
Paul Donahue: Well, as I mentioned in my prepared remarks, Liz, look, it’s anybody’s guess at this point. But we would certainly expect in the near-term that we will see folks gravitating to more driving, more utilization of their automobile versus jumping back on airplanes. So I would think we’ll see that in all our markets, AsiaPac, Europe as well as across North America.
Liz Suzuki: Great. Thank you.
Paul Donahue: You’re welcome. Thank you, Liz.
Operator: Our next question comes from the line of Bret Jordan with Jefferies. Please proceed with your question.
Bret Jordan: Hey. Good morning, guys.
Paul Donahue: Morning, Bret.
Bret Jordan: Questions around the balance sheet, I guess, given the AP to inventory at 110 and likely higher leverage ratios just on the near-term lower EBIT. Is that something that you have to be concerned about the payables programs being at such high levels, given a higher leverage ratio with those lenders?
Carol Yancey: Yeah, Bret, when we think about our working capital, we are still quite comfortable with where we are with our supply chain financing, our accounts payable programs and all of our programs with our suppliers. Quite honestly, as Paul mentioned, we’ve had just a terrific working relationship with our procurement teams and our suppliers. And we’re still making further progress on extended terms globally across our businesses, even in these times. When we think about our leverage and the metrics that you mentioned, we’re comfortable with other levers we’re pulling. So we mentioned some of the things we’re doing in capital allocation, be it CapEx or be it our M&A or share repurchase, all levers we can pull quite easily. We also have some other working capital metrics we’re looking at and making progress on. So in the area of inventory management, and then keeping just a tight eye on AR. So no, we’re very comfortable with where we are, and we expect to hold on to that ratio as we move ahead and to still get working capital improvement.
Bret Jordan: And I guess, you mentioned participating maybe some asset-based lending is - what are your plans around the balance sheet as far as for the liquidity?
Carol Yancey: Yeah. So no, great question. As we did our modeling and worked with our banking and financial partners and did increase our covenant through the end of this year. And we’re quite comfortable that we’ll remain in compliance with that covenant without these other options. Again, with the capital allocation levers we pulled and some of our working capital improvement, we believe we’ll be in compliance without doing other asset-based lending. But having said that, our treasury teams work continuously looking at many different options and whether it’s an AR securitization or some real estate structure type transaction or quite honestly, we’re also pursuing some international loans that are being made available in some of the geographies we have in Europe that’s attractive financing. So we honestly believe we can be in compliance without doing those things, but we’re being prudent to continue to model and look at what may make sense as we move ahead during what will be probably the toughest quarter from a balance sheet standpoint in Q2.
Bret Jordan: Okay. Great. And then one macro auto question. You said that none of the NAPA U.S. independents had closed their doors. Do you see this event sort of driving some contraction in the total number of doors, whether it be other independent buying group members? But do you see this sort of being shocking enough that we’re going to shrink the total number of stores in the auto parts space?
Paul Donahue: Well, Bret, it certainly is possible. We - I don’t know that the automotive aftermarket is going to be that significantly different from other small businesses that have been impacted. I will tell you that, as I mentioned in my prepared remarks, our - many of our independent owners have already taken part in the PPP and are financially strong as well as many of our NAPA AutoCare centers, as well, have taken advantage. So we think that, if anything, Bret, there perhaps may be some acquisition opportunities down the road for a company like ours with as strong a balance sheet as we continue to maintain.
Bret Jordan: Okay, great. Thank you.
Paul Donahue: Yeah. Thank you, Bret.
Operator: Our next question comes from the line of Scot Ciccarelli with RBC Capital Markets. Please proceed with your question.
Gustavo Gonzalez: Hi. Good morning. This is actually Gustavo Gonzalez on for Scot. Thanks for taking our questions. So your comments suggest that kind of trend deteriorated further in April versus March. And I know it’s a limited data set, but the cadence in April stayed sort of relatively flat in all segments? Or did it improve or get worse from there sort of as the month progressed?
Paul Donahue: Okay. So I’ll take a shot at that. What we saw in the month of April is sequential improvement throughout the month that has now carried over into May. So really, what we saw here in the U.S. is as states reopened, we saw our business ramp back up. We expect to see the same in Europe, as I mentioned earlier, as we’ve already seen in Germany and the Netherlands. We certainly expect that in Asia Pac as well. And as France comes back online, the U.K., we fully expect to see our business ramp back up. In Asia Pacific, we - New Zealand was in a total lockdown mode. That country is now reopening, and we’ve seen a resurgence in business, both in automotive and Industrial.
Gustavo Gonzalez: Got it. That’s helpful. And then one more for me. So the declines in auto, the cadence has seen your end, your own stores and kind of what you’re seeing with your wholesale sales to your independents. How different is that? Is there any delta you guys are seeing there? And then I know you guys said no closures on the impendent front currently, but how solvent with the current sales volumes do you think they can kind of last 20%, 30% down in sales?
Paul Donahue: Yeah. So let me take the first question first. So between our company stores and our independent-owned stores, the numbers and trends were very similar, so not a big discrepancy between those two. What I would say and I’ll repeat what I said earlier, I believe the number that I’ve seen most recently is 60% of our independent owners have successfully applied for PPP funds. So to this point, our independent owners are in good shape. I believe over 90% have applied. And as you know, it’s the banking system. Some of the applications have moved a bit slower, but we do believe that the program that the Fed has put out will benefit. And as it’s designed to, should benefit small independent-owned businesses, like our good NAPA independent-owned stores as well as our NAPA AutoCare centers. So we think in the long haul, our group will be just fine.
Gustavo Gonzalez: Got it. That’s it from me. Thank you.
Paul Donahue: Yeah. Thank you.
Operator: Our next question comes from the line of David Bellinger with Wolfe Research. Please proceed with your question.
David Bellinger: Great. Thank you. And I hope everyone is staying safe. Just following up on the U.S. auto business and the sequential improvement, you mentioned week to week. How are you thinking about the stimulus checks and the flow to consumers? How big of a factor was that to help the improvement? And can you talk about any regional differences that have stood out lately or a certain subset of stores that are performing better or worse than the overall automotive average?
Paul Donahue: Yeah, David. Welcome. We’re happy to have you on our account. I’ll tackle the second question first in terms of regional differences, probably no surprise where we have seen the most pressure from a regional standpoint is in the Northeast. So our good owners and company stores in and around New York, Boston, have really been challenged, again, should not be a surprise. The Mid-Atlantic region of the U.S. was pressured as well. On the flip side, our business has maintained relatively well in the Midwest as well as the Mountain area, which - those two regions of the country also had good fourth quarters as well. So we appreciate the great job our leadership teams are doing in both those markets. In terms of the stimulus checks, we would think that it can only be a positive. It’s hard to track, David, exactly to pinpoint if we’ve seen a lift week to week as a result of stimulus checks, but we have to believe that’s a positive. I would also mention that - and as I did in my prepared remarks, we have seen a big uptick in our online and digital business, all across the GPC businesses. So again, the stimulus checks can only benefit our business in the long haul.
David Bellinger: Got it. That’s very helpful. Then just following up on the strong online sales you just mentioned to the DIY customers. Can you elaborate on what you’re seeing there? Maybe give us a sense of magnitude of how much that channel has picked up. And could this become a more substantial piece of the business going forward?
Paul Donahue: Yeah, great question. And look, we’ve been investing in our online efforts both here in the U.S. as well as Australia. You might remember, David, I mentioned it in my prepared remarks, we did an acquisition in Australia last year of the leading online purveyor of auto parts, a company called Sparesbox, very timely acquisition for us. They brought a tremendous level of expertise and knowledge around all things digital, but also great automotive knowledge as well. So our business in Australia is up three times here over the last couple of months. Our business in the U.S. is up two times. Now granted, it is a fairly small base that we’re coming off of. But we’re thrilled with what we’re seeing, and we’ll continue to invest in our digital efforts across all of our businesses.
David Bellinger: Got it. Thank you very much.
Paul Donahue: Yeah. Thanks, David.
Operator: Our next question comes from the line of Greg Melich with Evercore ISI. Please proceed with your question.
Greg Melich: Thanks. I had a question for Carol and then Paul. Carol, could you help us understand the - what you think the variable margin is the business now? Is it - can we still use something like 25% or 30%, as things come under pressure? And is that still a good number? Or does that come back out? And then, Paul, I guess, really thinking about those trends you talked about, how much stronger was DIY than do it for me? Was it possible that it’s actually up in April? And also in Industrial, if you could answer what the trends have been there since the second half of March and now into May, if it’s accelerating or still decelerating?
Paul Donahue: Yeah, okay. I’ll let Carol tackle the first question.
Carol Yancey: Yeah. So Greg, you’re still correct on the 25% to 30% on the variable, and that is still a correct assumption. And when you mentioned, just a comment on the Industrial, as we mentioned, what April sales were for the Industrial business. So we - as Paul mentioned, each one of our businesses were better second half of April than they were first half of April, and that applies to the Industrial business as well. So the number that we gave for April would be Motion and Inenco together, Motion being a bit more down than what we gave you on the total reported number for April. But know that markedly different between the second half of April and the first half of April. And as Paul mentioned, that sort of continues into May. We had a good report from our industrial business as they’ve seen plants start to reopening, and they’ve seen this gradual economic reopening across the states and across a lot of these plants. And again, we saw that in our late April results for the industrial business.
Paul Donahue: And Greg, related to your DIY versus DIFM, as mentioned. DIFM, for us, outpaced DIY in the first quarter. We did see that flip in April, as I’m sure most did as states locked down. That said, I would tell you that our DIY business was still slightly down in April, although it did outpace DIFM.
Greg Melich: That’s great. Thanks and good luck, guys.
Paul Donahue: Yeah. Thanks, Greg.
Operator: Our next question comes from the line of Chris Horvers with JPMorgan. Please proceed with your question.
Chris Horvers: Thanks. Good morning, guys.
Carol Yancey: Morning.
Chris Horvers: So a question on the - one follow-up question on regionality. How did the South perform like Florida, Texas? Those areas were less impacted, it seems, by the virus. So how did that perform in U.S. NAPA? And then my follow-up is you have the $100 million cost program. How much of that flowed through in the first quarter? And any comments on how that sort of might rollout and benefit the business over the rest of the year. And with the new cost-out program, can you put some numbers around that in terms of how substantial that could be?
Paul Donahue: Okay. I’ll tackle the regionality question, Chris, and I’ll let Carol address the cost downs. Across the southern half of the U.S., our business was about in line with our overall business, certainly better than what we experienced in the Northeast, but not as good as what we saw in parts of the Midwest and the Mountain. So kind of in the middle of the pack. I think that’s partially, Chris, it’s probably fairly unique to our business. We have a large segment of business that’s down in the islands and the Caribbean. Those stores are big volume stores, those stores all locked down early in the pandemic, and that’s certainly swung, I think, a bit of the trend for us in the southern part of the U.S., but middle of the pack. And then I’ll let Carol tackle some of the cost reduction question.
Carol Yancey: Yeah, Chris, great question. We are on track. The $100 million of cost savings, that was largely related to as we talked about a voluntary retirement plan that was put in place at the end of last year, and we actually have tracked that. We know that a lot of those actions on and those reductions were coming out after Q1. And so we are on track with the $100 million cost savings. The accelerated actions that Paul talked about, and that’s across all of our global businesses, it’s 50 to 60 actions, and we listed out quite a few of those for you. We’re not going to get into quantifying what they are, but know that, that is on top of the $100 million, and you’re talking about some significant numbers as we look ahead that will help us as we get into what will be the toughest quarter. One favorable thing that we saw, and we called it out in our prepared remarks, for the first time in many quarters, our payroll was actually down in Q1, down slightly, excluding the impact of our acquisitions and divestitures. That’s directly related to the $100 million of cost savings, the VRP actions that we took. And we - again, we haven’t seen that in some time. We had reductions in legal and professional for, again, the first time in Q1. The other categories, big categories for us, such as freight and delivery and rent and facilities and IT and insurance. While those categories were up, they were not up as much as they were in the prior year. And so again, we had some improving trends in SG&A, but we had such a significant deleverage in the last part of March. That’s why we’ve taken the steps with the accelerated actions.
Chris Horvers: Thanks, understood. And then as a follow-up, you talked about DIY was still slightly down in the U.S. in April, and that trends improved throughout the month. It seems like these stimulus checks really picked up the DIY side of the business. So did DIY flip to the positive as we progressed into the end of April? And did you see any improvement on the commercial side over the month as well?
Paul Donahue: Well, as we said earlier, Chris, we saw our business trend up the entire month. So week to week to week. And including now into the first week in May, we’ve seen our business improve. That said, our DIY business, I think your specific question, did it trend positive? It did not because we still had a significant decline in our footsteps into our stores, which, I guess, should not be surprised given how many cities and states were in total lockdown. There weren’t a lot of folks out of shopping, unfortunately. Hence, the nice lift we saw in our digital and online business.
Chris Horvers: Got it. Thanks very much and best of luck.
Paul Donahue: Thank you, Chris.
Carol Yancey: Thank you.
Operator: Our next question comes from the line of Seth Basham with Wedbush Securities. Please proceed with your question. Seth, is your line muted?
Paul Donahue: Okay. I guess we lost that.
Operator: Yes. Our final question comes from the line of Daniel Imbro with Stephens Inc. Please proceed with your question.
Daniel Imbro: Hey. Good morning, guys. And thanks for squeezing me in here late.
Carol Yancey: Morning.
Daniel Imbro: Paul, apologies if I missed this, but maybe just to clarify. Where did total organic growth shake out to for Europe? I don’t - I didn’t see a total number. I know you mentioned the geographies. But do you have that on hand?
Carol Yancey: Yeah. So the organic growth for Q1 was down high single digits. And we had some acquisitions that were in there that related to the reported number being up 10%. And obviously, currency was a big impact in the quarter as well at a down 3%. So high single-digit down comps for March.
Paul Donahue: And Daniel, we should mention, and you all know this, but certainly, Europe was hit much earlier with the pandemic than certainly North America. If there’s any good news to report, as we spoke to our teams yesterday, we do believe the worst in Europe is now behind us. We have peaked out. And again, we are now making plans to reopen in France and the U.K. We’ve already reopened and are doing well in Germany and the Netherlands. So the good news is the worst is behind us. The peak, we’ve crossed the peak, and we have better days in front of us in Europe.
Daniel Imbro: That’s great. And yes, hopefully, we’ll play out here, too. And then just a follow-up. So really helpful color earlier on the independents and the health of those. But if I recall, one of your plans this year for comp drivers was kind of rolling out the remodel programs across the independent chain. And the capital for that, I think, is fronted by the independent. So any update or color you can share on the pace of what we should expect for that initiative? How the independents are maybe pushing back on that? Any kind of update on how we stand on the remodel program?
Paul Donahue: Yeah. And Daniel, it’s a good question. And look, that initiative is still high on our priority list. I would tell you with what we’re faced with and what our independent owners are faced with right now. We have put that essentially on hold. There are a few projects going here and there. But the large-scale rollout we have essentially put on hold, but it’s temporary. And my hope will be that we see that ramp back up in the second half of the year.
Daniel Imbro: Got it. Thanks so much, guys. Best of luck.
Paul Donahue: Okay. Thanks, Daniel.
Operator: We do have Seth back on the line. Well, Seth Basham with Wedbush Securities. Please proceed with your question.
Nathan Friedman: Yeah, hi. This is Nathan Friedman on for Seth. Apologies for that earlier. First question is on - regarding your April sales trends. You noted that they were down 30%. Is there any sort of differences between U.S. and Europe versus the rest - versus the chain? Any color there would be appreciated.
Carol Yancey: Yeah. The 30% for the automotive, it ranges from a low of 20% to a high of 40%, 20% being Australia, Europe being more in the 40%. Canada being a little bit - Canada is similar to the 30%, U.S. being around 25%. Now that’s the blended month. So in all of our geographies, as we’ve mentioned previously, if the blended number is 30%, that is down something greater than 30%, the first two weeks and down something less than 30%, the second two weeks.
Nathan Friedman: Got it. That’s very helpful. Helpful color. And then my second question is just on the auto operating margins. Can you speak to any sort of year-over-year differences or the rate of declines in the U.S. and Europe versus I guess, the positive change that you reported in Australasia?
Carol Yancey: Yes. So our Australasian business in Q1, they actually had favorable comps in the quarter, and they had slight margin improvement at about 20 bps. We mentioned that was the positive bright spot. They operated really well. As we mentioned previously, North American and our Europe business, with the decline in their core sales, primarily in late March related to COVID-19, about half of the automotive margin decline is Europe and about half is North America auto, and that would all be SG&A leverage. And really, again, related to the $140 million or so of sales decline related to COVID-19. Having said that, they held their gross profit dollars. Their dollars were down proportionately, but they held the gross margin and actually had slight improvement. So all a loss of leverage related to the declines in Europe and North America.
Nathan Friedman: Great. Appreciate the color and best of luck going forward.
Paul Donahue: Thank you.
Carol Yancey: Thank you.
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session. And I would like to turn the floor back over to management for any closing remarks.
Carol Yancey: We’d like to thank you for your participation in today’s earnings call. We appreciate your support of Genuine Parts Company. And we look forward to updating you in the future. Thank you.
Operator: This concludes today’s teleconference. You may now disconnect your lines at this time. Thank you for your participation, and have a wonderful day.